Operator: Good afternoon, ladies and gentlemen, and welcome to the 8x8 Third Quarter Fiscal 2015 Earnings Conference Call. At this time all participants are in a listen-only mode. Later we'll conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions]. As a reminder this conference call is being recorded. I would now like to turn the conference over to your host, Ms. Joan Citelli, Director of Corporate Communications.
Joan Citelli: Thank you, and welcome everyone to our call. Today, I am joined by 8x8's Chief Executive Officer, Vik Verma; and our Chief Financial Officer, Mary Ellen Genovese to discuss our results for 8x8's third fiscal quarter of 2015 ended December 31, 2014. If you’ve not yet seen today's financial results the press release is available on the Investors tab of 8x8's website at www.8x8.com. Following our comments there will be an opportunity for questions. Before I turn the call over to Vik I would like to remind all participants that during this conference call any forward-looking statements are made pursuant to the Safe Harbor provision of the Private Securities Litigation Reform Act of 1995. Expressions of future goals, including financial guidance and similar expressions, including without limitations, expressions using the terminology may, will, believe, expect, plans, anticipates, predicts, forecasts and expressions, which reflect something other than historical facts are intended to identify forward-looking statements. These forward-looking statements involve a number of risks and uncertainties, including factors discussed in the Risk Factor sections of our Annual Report on Form 10-K and our quarterly Reports on Form 10-Q and in our other SEC filings and company releases. Our actual results may differ materially from any forward-looking statements due to such risks and uncertainties. The company undertakes no obligation to revise or update any forward-looking statements in order to reflect events or circumstances that may arise after this conference call, except as required by law. Thank you. And with that I'll turn the call over to Vik Verma, Chief Executive Officer of 8x8.
Vik Verma: Thank you Joan and welcome everyone to 8x8's third quarter of fiscal 2015 earnings call. This was another strong quarter for 8x8 and I believe we bolstered our industry leadership position in several key areas, notably our expanding presence in the mid-market, our talent and our technology. As you can see from our fiscal 2015 third quarter results the momentum we generated in the first half of our fiscal year continued with strong 26% year-over-year growth in total revenue to a record $41.4 million and 27% year-over-year growth in service revenue to a record $37.8 million. Driving this growth is the continued mid-market adoption of our cloud telephony, contact center and Unified Communications Services we saw during the quarter. New monthly recurring revenue sold by mid-market and channel sales teams increased 42% year-over-year and represented 44% of new monthly recurring revenue sold in the quarter. Revenue from mid-market customers now represents 42% of total service revenue compared with 38% for the same period a year ago. Our non-GAAP net income results for the third quarter of fiscal 2015 were equally strong at $4.1 million or 10% of revenue compared with $2.5 million or 8% revenue for the same period last year. This is the 19th consecutive quarter in which 8X8 has generated non-GAAP net income alongside increasing revenue and we remain committed to profitable growth and strong cash flow. Since our last earnings call 8X8 has made significant progress in a number of key areas. First, I am pleased to announce that we’ve rounded out our senior management team with the strategic hiring of two executives following the appointment last October of Mary Ellen Genovese as Chief Financial Officer. In November we brought on board Enzo Signore as Chief Marketing Officer and earlier this month we named Puneet Arora as Senior Vice President of Global Sales. Enzo brings over 20 years of marketing product management sales and business development experience to 8x8 with industry leading communication and technology vendors such as Avaya JDSU and Cisco. Puneet comes to 8x8 with a successful track record building, leading and scaling sales organization for SaaS and enterprise-software industry leaders, such as Salesforce.com, Oracle and most recently LivePerson. Particular areas of focus of our marketing and sales efforts going forward will be increasing brand awareness and adding more vigor to our demand generation and sales processes. I am thrilled to have Enzo and Puneet join the 8x8 executive team and I am confident that their background and experience will be invaluable as the company enters its next phase of growth. Second, as we announced last week 8x8 achieved an eight new technology milestone with the awarding of its 99th and 100th U.S. patents. We believe our patent portfolio is not only a market differentiator and proof of technology innovation but more importantly a display of the dedication of our team to envision, develop and deliver industry leading communication technologies that enable our customers to grow and prosper. Third, the deeper level of integration between our virtual office and virtual contact center services which I referenced during our last earnings call is now complete. Our research, development and engineering teams have been working hard over the past 18 months to architect a cohesive cloud communication solution that seamlessly ties telephony, unified communications and contact center users across the enterprise with single sign on, shared directory, shares presence, integrated chat and integrated call flow and routing. By integrating these two software technologies to form a common underlying core platform 8x8 has uniquely positioned its offering to extend the customer engagement, analytics and reporting capabilities of the contact center throughout the enterprise. In the coming weeks and months we will be announcing additional new services and capabilities that will enable businesses to derive far greater value from 8x8’s Unified Communications and contact centers-as-a-service solutions beyond the simple replacement of their legacy communications systems. Our combined virtual office, virtual contact care solution continued to bring us some big wins this quarter with five of our top 10 deals in the U.S. subscribing to both services. Two notable wins from our channel team, including MHM Services, a 350 seat, 38 location virtual office deal brought to us by our partner, CDW and Lantronix, a global leader of secure communication technologies, brought to us by our partner, TBI, that will be deploying both virtual office and virtual contact services across their entire global enterprise. Our UK team is seeing good traction from its acceptance as a supplier on the UK government’s G-Cloud 5 framework and last quarter closed a 100 seat virtual contact center deal for a leading systems integrator that provides professional services to central governments within the UK. In addition to this success our mid-market channel and UK sales teams are experiencing our SMB groups had record bookings in the month of December and are now more focused on larger deals. The productivity of our SMB reps has increased 12% year-over-year. Fourth, we have taken the time for the past few months to learn how we can better support our customers’ business growth business growth initiatives. In October 2014 we held our first Executive User Forum that was attended by the CIOs and heads of IT at some of our top mid-market accounts. The purpose of this event was to listen to our customers' business needs and issues and identify ways 8x8 can be a better partner. During the 2.5 day event we learnt how important it is to have reporting and analytic data as well as integration with critical business applications like Salesforce.com and NetSuite. This along with other detailed customer feedback will continue to help guide our product roadmap. We also learned that these customers view the TCO, total cost of ownership value, speed of deployment and flexibility of 8x8 services as a significant competitive advantage. Additionally last month we invited 4,400 customers to participate in a survey designed to uncover what areas of their business were positively affected by the deployment of our solutions. Thanks to 8x8's proven high availability performance with 99.997% uptime for the past two years 87% of our mid-market customers with more than 500 users reported improved service availability and reliability with 8x8 services over their previous solution, 51% of the customer surveyed reported receiving a 55 plus percent reduction in dedicated communication IT resources. Overall we learned that 8x8 value proposition and customer satisfaction grows with larger and more complex accounts. Fifth, we announced the continued expansion of our global presence with the launch of our service platform in a top tier data center in Sydney, Australia and the establishment of a partnership with EntrustICT, an Australia-based provider of wholesale communication technologies to leading system integrators and service providers. A highly available, reliable and secure global communications network continues to play a significant role in the increasing adoption we are seeing in the mid-market. With the opening of this latest facility in Sydney 8x8 now maintains eight data center operations in five regions of the world; United States, Canada, United Kingdom, Hong Kong and Australia. Our progress during the quarter is part of a clear trend of 8x8 successfully moving upstream into larger deals with a focus on delivering business value. Certainly this did not happen overnight and the effort was non-trivial. This undertaking involved significant investments in time, training and product development to help us meet the communication needs of the mid-market customer segment. The result of these investments is that we are signing increasingly larger deal in the mid-market segment. Our average monthly recurring revenue per order from our direct mid-market customers more than doubled year-over-year, largely driven by increasing success in selling a combined virtual office and virtual contacts in our product offering to our customers. As a result we are winning larger deals, generating better margins and seeing less churn as compared to a year ago. While many providers can deliver VoIP dial tone the mid-market base requires a broad range of services to grow their business. These are services 8x8 already has in place today in the form of a complete interoperable solution. Before I turn the call over to Mary Ellen, given our strong performance in the third quarter we are maintaining our guidance for annual revenue growth of approximately 26% in fiscal 2015 and we continue to expect non-GAAP net income as a percentage of revenue in the 8% to 10% range for fiscal 2015. With that I'll now turn the call over to Mary Ellen, who will provide you additional detail on our financial results.
Mary Ellen Genovese: Thank you, Vik. As Vik noted financial results for our third quarter of fiscal 2015 were strong with a 27% increase in service revenue and a 26% increase in total revenue compared with the same period last year. 44% of our new monthly reoccurring revenue sold in the quarter came from our mid-market and channel sales teams. Revenue from this combined segment now accounts for 42% of our company's total service revenue compared with 38% in the same period last year and 41% in the previous quarter. We remain intensely focused on expanding our penetration in the mid-market, as the lifetime value economics of these customers is approximately 40x that of a small business customer. Average revenue per customer across our entire customer base was a record $305, up $6 sequentially and $31 or 11% compared to the same period a year-ago. Monthly business service revenue churn was 1% in the quarter, compared with 1.5% in the same period a year ago. Our GAAP net income was $444,000 or $0.01 per share. Non-GAAP net income was strong at $4.1 million, $0.04 per share, representing 10% of revenue, compared with $2.5 million, $0.03 a share and represented $0.08 per revenue -- 8% of revenue in the same period a year-ago. Gross margin was strong at 72%, similar to prior quarter; service margin was 80% and product margin was negative 11%. This compares with 71% gross margin, 81% service margin and negative 34% product margin in the third quarter of fiscal 2014. We saw a significant improvement year-over-year in product margin due to less discounting to smaller customers. Our net customer additions were lower this quarter compared with our historical results primarily due to the end-of-life reduction of very small iTEL Connect customers which we acquired in 2008 and an emphasis on the part of our SMB team on selling larger deals. We expect this trend to continue as our SMB team focuses on large deals and continued reduction in our previously acquired iTEL customers. Our sales and marketing expenses increased sequentially from fiscal Q2 by approximately $1.1 million, due to higher commissions related to our SMB group, trade show expenses and increased head count in our mid-market deployment team. We expect this trend to continue in fiscal Q4, due to expenses relating to our key industry trade show, Enterprise Connect in March and the addition of two senior executives. We capitalized approximately $600,000 in R&D expenses this quarter and expect these projects being completed by late Q4. In addition we expect fringe benefits to increase across the board in Q4 as we restart social security and 401(k) matching expenses for all our employees. These increases are included in our full year guidance of 8% to 10% non-GAAP net income. Cash, cash equivalents and investments were $187.9 million at December 31, 2014 compared to a $174 million in the third quarter of fiscal 2014. Cash flow from operating activities was $13.8 million year-to-date. Capital expenditures were $2 million in the quarter or 4.8% of revenue and $4.5 million or 3.8% of revenue for the first nine months of fiscal 2015. Our increase in capital expenditures is primarily due to an upgrade to our core networking equipment to the next generation 10 gig infrastructure to support our future growth. We are also deploying additional hardware and systems to accommodate our new product features such as Virtual Office, VCC integration and Big Data analytics. Lastly we are investing in back-end systems to accommodate the additional complexity of serving our mid-market customers. As Vik indicated we are reiterating our guidance for annual revenue growth of approximately 26% in fiscal 2015, with non-GAAP net income as a percentage of revenue in the 8% to 10% range for this fiscal year. We are building a company focused on sustainable profitable growth. This concludes my prepared remarks and I’ll now turn the call over to Vik.
Vik Verma: Thank you, Mary Ellen. In summary we had a strong quarter, characterized by continued growth in profitability. We are finding success in the sweet spot of the market where others aspire to go. We believe we have a significant head start on the competition and we intend to leverage this and bolster our competitive advantage in 2015 and beyond. With that we will be happy to take on any questions you may have for us today. Operator, please open the line for any questions.
Operator: Thank you Mr. Verma. [Operator Instructions]. Our first question comes from the line of Nandan Amladi of Deutsche Bank. Your line is now open.
Nandan Amladi: Hi, good afternoon. Thanks for taking my question. So Vik, the first question for you. Hi. Your hiring of a new CMO and a Chief Sales Officer, new head of sales what are they planning to do differently than what you have done in the past?
Vik Verma: So let's start with, I mean basically we are changing the company over the last year and a half or so to increasingly go after the mid-market and larger and larger accounts and so as part of that we are trying to bring in folks that are much more from that area, in that expertise who can really drive growth in that particular segment. As you know we did not have a head of sales. You are looking at him -- I mean are talking to him. I was the Acting Head of Sales and I wanted to do that for about a year or so to get a sense of exactly what were the various levers but Puneet comes from a SaaS background where he can really put all of the efficiencies in place, so we can get a tight integration between our SMB team, our mid-market team, our channel team, our UK team and so we can get all the efficiencies and much more structure and predictability in the way we keep growing our sales business.
Nandan Amladi: Thank you. And a short follow-up, on the contract center plus telephony and Unified Communication, I think you said five of the top 10 deals bought these bundles in this quarter, how penetrated do you think you are at the moment and how much demand is there in the end market to buy a bigger bundle?
Vik Verma: We think it's very significant in the sense that I mean if you just look at the overall market, mid-market I think it's less than 8% penetrated, I would say it's even lower than that just in the U.S. and globally I would say it's even lower than that. We are finding increasingly people want this one stop shop integrated solution and the reason it's important is for example if you call a traditional call center and the agent runs into a particular problem they literally have to say tier two or somebody else will call you back. With this integrated telephony you have access to the entire company's directory and so you are able to have first call resolution. In addition to that you're able to have extension of dialing, just with call centers but making sure that in essence every person in the company is connected and has the right relevant amount of data that is available to the contact center agent. So we are starting to see that this can be transformative to businesses and it can give a non-trivial amount of efficiency to them as a matter of fact I think you saw that 55 plus percent of our customers were saying that they were able to materially decreased their IT expenses by using our systems. So we think we are in an early stage of very significant market and we think the on-premise vendors are right for disruption and we feel that this combined interoperable platform that we have put together positions us beautifully to do it.
Nandan Amladi: Thank you.
Operator: Thank you and our next question comes from the line of Amir Rozwadowski of Barclays. Your line is now open.
Amir Rozwadowski: Thank you very much and good afternoon folks.
Mary Ellen Genovese: Good afternoon.
Vik Verma: Hey, Amir, how you are doing?
Amir Rozwadowski: Good. I wanted to touch base on sort of the tail end of that question, in terms of the opportunities that you are seeing in the market, particularly as it relates to the opportunity to generate profitability. If I look at this quarter we saw notable pickup in your gross margins for the business and I know that structurally the incremental gross margin or the incremental cost for adding on additional outlines and additional larger customers are quite favorable. How should we think about that progression going forward? I mean clearly folks are making some investments right now to improve the distribution and improve the penetration in to the mid-market base. But how should I think about sort of the longer term arc of the profitability of the company?
Vik Verma: So I think in the nicest possible way, Amir I think you are trying to get me to commit to guidance for FY2016, which I am not prepared to. But the part, I would tell you, so let's start with the gross margin. What I would tell you and I am very pleased about this, I mean as you are seeing service margins and gross margins are trending very nicely up and what I would tell you is I think we have little more headroom there. So little by little every element of the company is getting better and we feel very good about it and so I am not willing to provide guidance for FY2016 at the current stage. We will make sure that we do the right balance between growth and investment and I think we are committed to profitable growth. But as I said the overall engine of the company is starting to get better across the board and we starting to see more cash thrown out from our customers and also about 50% of our existing customers are buying our stuff and that I think is a good thing because it absolutely reduces your sales acquisition cost.
Amir Rozwadowski: Very helpful and then if I think about sort of the competitive landscape right now, I mean making clearly you folks are making an incremental -- an increased amount of traction into sort of this mid-market. Are we seeing a shift in the competitive landscape? Are you seeing a larger portion of business is coming your way as you are starting to get increased sort of validation with this type of customer base? And I guess, lastly are you butting heads with those that maybe in the larger part of the market moving sort of down into the mid-market?
Vik Verma: So I think, the simplest one is a rising tide lifts all boats. I think we are in a secular shift where larger and larger enterprises are going cloud and definitely cloud telephony and cloud contact center. So I think all of us are benefiting from that. So right off the bat that’s very, very helpful and that’s a very large installed base as you know that have chosen initially on-premise because that was the only available technology. And what we are finding is we are able to now sell to those types of customers without having to convince them to go cloud. They are already starting with, okay we are going to go cloud, let’s talk about feature functionality. So that’s I think a good move and I think that helps all of us. I mean we butt heads with different people but we like to think we are step-by-step differentiating ourselves on the technology front. I mean the patents are issue patents. It’s not pending patents. Those are patents that we’ve actually received. The technology that we are talking about is stuff that we’ve made available to new customers and is available for general availability to also existing customers in next three to four months. And so one by one we are starting to roll out all of these feature functionalities based on this platform and you will continue to see accelerating feature functionality that we think will help us differentiate from the competition.
Amir Rozwadowski: Very helpful. Thank you very much for the incremental color.
Vik Verma: Thanks, Amir.
Operator: Thank you and our next question comes from the line of Michael Huang of Needham. Your line is now open.
Michael Huang: Thanks very much. Happy New Year guys. Just a couple of questions for you guys. So first of all, I know that Puneet has just taken the reins here but I was wondering if you share your initial thoughts around pace of sales hiring through next year. I mean are you likely to be more aggressive around sales hiring or is there more of a focus on productivity, like what’s a lower hanging fruit?
Vik Verma: So I mean I’ve just a general bias towards productivity in the sense I think we are finding and you just I think saw it, just in the SMB team with an amateur like me running sales we were starting to see 12%, 13% productivity improvement. Our mid-market and channels I think are starting to see the same. So my sense is that we will see rotations, you will see different people but I don’t anticipate massive increase in pace of hiring. What I see is we are bringing in on board an SaaS expert who has built integrated sales teams with inside outside channel, field, international sales teams and I think has expertise to do that and can help get the most amount of productivity out of our existing sales team. We will increase expenses but I don’t view it as dramatic increases.
Michael Huang: Got you. Okay, that’s great. Now with respect to the net add metric, I know it’s not quite as relevant given the fact that you are investing disproportionately in moving up market. Could you at all share, either qualitatively or quantitatively kind of how the mid-market and enterprise net adds are looking, I mean how is that trending maybe relative to previous quarters?
Vik Verma: We are relatively comfortable with them across the board. I think the net adds, keep a couple of things in mind. Part of it is the clean-up that we are doing. So we’ve looked at, we bought a company a few years ago iTEL Connect and they were one line type customers on their own platform and little by little we have given them an option to move on to our 8x8 platform, Unified Communications, which is more expensive or move out. And so that was a non-trivial subtraction to our gross adds. Same thing is we have biased the sales teams towards selling larger and larger deals. And we are seeing that, that is actually working for us. As I indicated December was the most that our SMB has booked and from our perspective and what we are seeing is that the smaller mid-market deals can actually be booked by our inside sales team. That’s great. So that’s why you can get more productivity because they are selling larger deals and so in essence you will start to see that trend continue where our focus is much more towards selling larger deals, both with our SMB team as well our mid-market team and then just the general clean-up of some of the legacy customers that were on their own unique platform which are one-two lines either being migrated to one common platform or basically not having their contracts renewed.
Michael Huang: Right, thanks very much. Appreciate it.
Operator: Thank you and the next question comes from the line of Dmitry Netis of William Blair. Your line is now open.
Dmitry Netis: Okay, thank you very much, guys. Nice quarter. Wanted to kind of clarify and then ask a couple of questions. One is the -- when you talk about SMB group you are talking about mid-market right, those are the customers that are above 50 lines?
Vik Verma: No, so SMB is the -- traditionally our SMB has sold the under-50 line, our mid-market distributed enterprises have sold greater than 50 line and then channel obviously has sold it through indirect. What we are finding is we are seeing that the SMB group, that 50 line constraint which was based on historical fact and that’s just been the way we’ve done it, we are finding that we can move them up, where they are starting to sell bigger and bigger deals that we would have traditionally had sold through our mid-market channel, we are able to sell without any touch through our SMB team. So to me that’s a great trend and we will be experimenting with how much more we want to -- how much bigger deals we want the SMB team to sell.
Dmitry Netis: Okay, that’s helpful, because I thought the kind of under 50 is inside sales group now. We have a new terminology. So that’s helpful.
Vik Verma: No, no, sorry yeah. It used to be called, about a year-ago it used to be called [indiscernible]. So SMB and [indiscernible] is the same thing.
Dmitry Netis: Okay, great. So now you gave a productivity number for that team which is up 12, or I think you said it’s either 12 or 13, I didn’t catch it right, but it’s in that range year-over-year. So you are doing quite well, I guess on that front. Do you have that same number for the mid-market team or what’s the productivity there is? And I know you have been doing investments all along and just trying to gauge how that’s tracking actually in the last couple of quarters or specifically this quarter.
Vik Verma: Yeah, I don’t have the number offhand. I think it’s -- we can circle up, I guess the next time we talk. I think they are fine in the sense but keep in mind mid-market is relatively new creation, so several of them are on ramps et cetera. But SMB team is a relatively mature team and what we are finding is that we are able to get much more productivity out of that existing team. And so that’s why I highlighted that number because that team has been in place for some time.
Dmitry Netis: Okay, and then as I focus more on the mid-market again, I think at the time, maybe a quarter ago you had about 12,000 customers in that team. Is there anything new to report there?
Vik Verma: I mean, obviously keep adding to the customer. We have not updated the overall customers but that customer base is moving on nicely and the way to look at that number is 42%, I think last quarter 41% by revenue, our service revenue was coming from the mid-market customer. This quarter it’s 42%.
Dmitry Netis: Okay, great. But also if I look at how your mid-market grew and I went back a couple of quarters, I think it grew in Q1, 94%, it grew 59% in Q2 and I think the growth was 42%, if I’m not mistaken this quarter. So the trend’s a little bit kind of sideways to declining and I understand you were working off a smaller base in the past, now you have a higher base, but how should we think about that growth, I guess going forward? And I don’t specifically ask for the guidance here, going into ’16 but if you look at the ’16, what’s the range you are going to be comfortable with going forward in the mid-market?
Vik Verma: So two quick comments. So one, with regard to comparison remember this quarter has the comparison to a portion of UK. We did the acquisition of Voicenet in November of last year. So this is not an apples-to-apples comparison in the sense that you have got a portion of UK that is included in that number that basically impacts the growth rate downwards. So that’s one part. The second part is, remember the way we define this metric and we will re look at how we want to define this metric, we define this metric as sales made by our midmarket and channel team. And I think, I just told you one of the things we instituted last quarter is we created this concept of tiering where the top agents in our SMB team, we gave them a hunting license to go after the smaller mid-market deals and they were quite successful. Those mid-market deals sold by our SMB team is not reflected in that 42% growth number. So we have to relook at what the right metric is because the way we define the metric and I wanted to make sure we are consistent with the metric, so that we can do an apples-to-apples comparison, we define the metric as the deals sold by the channel as opposed to the type of deal that was sold and so as we see SMB starting to sell to more and more mid-market deals it allows me to get mid-market to sale more and more enterprise deals.
Operator: Thank you and next question comes from the line of George Sutton of Craig-Hallum. Your line is now open.
George Sutton: Thank you. Relative to the channel, I appreciate you mentioned a couple of wins. I am wondering if you could speak more holistically from an update perspective on the channel in terms of how much support you are getting, what the funnel looks like, what the breadth of partnership looks like, that would be helpful?
Vik Verma: Great, George. So couple of quick thoughts. So one channel for me has been addition by subtraction. I think we had bias towards signing up a whole lot of channel partners. What we did over the last six nine months is we’ve been reducing the number of channel partners and concentrating on a few. And we are starting to see the fruits of that. Insight for example has been a great partner and is putting significant focus CDW TBI, a bunch of these folks. I think channel has significant headroom and I am starting use -- the word I would use is green shoots. I am starting to see a lot more interest from channel. I think we have now got the marketing mindset, Enzo as you know comes from Abaya and they do a lot of work through the channel, so the whole concept of enabling a channel which was somewhat foreign to us making sure that they have all of the right training, the market development funds, co-selling with them et cetera, those are things that as a company we didn’t know how to do well. We’ve now brought in that expertise. So I actually think, given my predictions couple of years is I think channel will be probably the largest form of revenue that we get but don’t view that as a prediction, that’s just a gut right now, but we are seeing a lot of headroom in channel.
George Sutton: Okay, and as unrelated follow-up, can you give us sense of how conversations are changing now that you have worldwide delivery capability. So before a lot of these additions over the last 12 day 18 months, how has that conversation with the customers changed?
Vik Verma: I think people are coming to us and somebody made a comment about Puneet and as well as Enzo. The part of -- the mindset has been, we were essentially -- we started out as a SMB company and a lot of the time it was inbound calls coming into us either through paid search or web or whatever and we did almost no outbound. That’s one element but what is the two ways that things have changed. People are actually seeking us out, that are channel partners, we are getting channel partners from, I am sure you can guess some of the various competitors that are out there that are on-premise. We are basically trying to create cloud practices and larger and larger channel partners are coming to us with the idea of investing and so they are quoting us which is unusual, which was -- it’s new to us. So we appreciate being quoted much more than having to do the quoting. So we’ve seen that change over the last six months or so. And then the second thing is, as I said we are still amateurs and I don’t mean to say -- this is all [indiscernible] because we have been continuing to grow at the rate that we’ve talking about, doing the stuff our mid-market was done as SMB plus. Little by little we are learning how to become a mid-market company which means everything from outbound to branding and all of these other activities and we have now put the team in place that comes from that background and can go out and help us in that area. So again I never want to tell you everything is done. It’s a work in progress, step-by-step but I think we are continuing to make good progress in the areas and the market is coming to us.
George Sutton: Okay, helpful specificity. Thank you.
Operator: Thank you and our next question comes from the line of Mike Crawford of B. Riley & Company. Your line is now open.
Mike Crawford: Thank you. Switching gears to the big data service, when is that going to be available for customers?
Vik Verma: End of this month.
Mike Crawford: Okay. So it’s already…
Vik Verma: A version of it. And we'll keep adding to it. We'll have the first baseline coming out this month which will give you data analytics you literally will, as a customer will know, across your entire network, where each call is taking place, how many calls came in, where they went, how many were answered on the first ring second ring etc. So we're starting to -- we see great opportunities in big data and analytics and I think you'll see version one coming out as I said end of this month or early next month and then a steady stream of new additions overtime.
Mike Crawford: And then secondly as you're interacting with larger and more sophisticated companies are you finding many of these customers and prospects are coming to you regarding connectivity or are they happy to keep that separate from the Unified Communications conversations.
Vik Verma: So far they have been actually very satisfied. I mean there are two parts and we have -- we believe with all of our expertise that we have been able to show to ourselves as well as to our customers that over the top connectivity gives you comparable quality to an MPLS network, and it’s something we are very proud of and it’s I think, because of our technology that we're able to do that. Several customers do want MPLS and we partner with companies to co-sell MPLS. So we basically go out to the customer and we bring in a preferred a MPLS partner and then we basically provide over the top as a backup as well as going over the MPLS network. We haven’t found the need to resell MPLS network at this stage so -- and we don't think we will. But so far I think customers have come to us and have been content with okay great, just give us over the top and we don't need a dedicated MPLS circuit once we show them that the call quality is very comparable. And two when they do want MPLS we are able to bring on board a series of preferred partners that we have already built in all the various interconnects with and we have found that customers are satisfied with that and that's certainly the way we are going to market for the foreseeable future.
Mike Crawford: Okay. Thank you.
Operator: Thank you and our next question comes from the line of Greg Burns of Sidoti & Company. Your line is now open.
Greg Burns: Good afternoon. Now you have your voice net in house for a little over a year, can you just talk about where -- how that acquisition has fared relative to your initial expectations and maybe what's your view is on expanding your operational footprint into a new geographies?
Vik Verma: Great question. So one and I think you rarely hear CEOs tell you this about acquisitions but I am thrilled. I mean from a numbers perspective they have exceeded our expectations, particularly on new MRR. We're seeing a lot of adoption happened in the UK market. I think you saw us making announcement a few quarters ago of G-Cloud and now they are winning deals through G-Cloud which is essentially the GSA contract equivalent for the UK government. They are winning deals with university, they are winning deals across the board with law firms and larger and larger customers are coming to us there. And they have fully integrated it. So the -- the not so good thing was it took us longer to integrate than I originally envisioned, but I think that always ends up being the case. But they are fully integrated they're totally on our platform. They only sell or almost exclusively sell 8x8 services and have been for the last four, five, six months. Their order entry system is integrated with us, their provisioning system is integrated with us, all of the various alerts et cetera are now integrated with us. So it's been a tremendous learning experience of how to go out and get -- do geographic expansion with somebody who had a legacy platform, transform them to our platform and do it without really missing a beat. It took a lot of work. So I don't want to give you the sense that it was easy. I think we were almost a duck where the feet are paddling like crazy but it looks very serene on top. But there is a tremendous amount of lessons learned that we are going to now use as essentially the input at how we are going to go do geographic expansion. We wanted to make sure we've really fully understood what it would take to make a product work, what it would take to make a back office systems work, to bring somebody like that seamlessly on board because they are whatever 10,000 miles away and now we believe we can do that for others and do it relatively painlessly.
Greg Burns: Okay thanks and just going back to the net add metric, it sounds like you're focusing more on the mid-market that might be a little lower than historically going forward. So how should we think about ARPU? Will that kind of breakout of that $5 to $6 incremental range, will that start increasing at a faster pace given the move up market?
Vik Verma: Very likely, I won’t commit to it right now but very likely, we think it will start moving up into the right and I think more than historical.
Greg Burns: Okay, thank you.
Operator: Thank you. And our next question comes from the line of Mike Latimore of Northland Capital. Your line is now open.
Mike Latimore: Hey, hi thanks a lot. In the midmarket obviously I think it’s over 50 is how you define it. What is the overall average customer size in the mid-market though at this point?
Vik Verma: So our average ARPU is I think close to 4,000, yes between 3,500 and 4,000 for mid-market. So that’s I guess the way to look at it.
Mike Latimore: Okay, great. And the -- you talked about, I think, five of the top 10 deals had contact center is that also a decent proxy for the overall midmarket bookings, sort of 50% from contact center or what would be the kind of the broader metrics out here?
Vik Verma: Yes, I think that’s reasonable. I think we don’t break it out but yes that’s a reasonable. What we are finding is a non-trivial portion is both and then the remaining is almost equally split between -- this is for the midmarket between VO only and VCC only and then we spend quite a bit of time that the VO only guys will help convert them to VCC and the VCC only guys will help convert VO. So we are increasingly seeing a transformation in communication where bringing contact center like functionality to the entire enterprise is a pretty disruptive technology for business communications and we feel customers are starting adopt that.
Mike Latimore: And then just last question on kind of UC apps, I guess, are you seeing much use of the video conferencing and sort of mobile apps in your -- among your customers?
Vik Verma: Yes, so about 40% of our customers use mobile app. So mobile apps is definitely attention getting, video has been interesting. Video helps us with demos and is a great check the box but we have not seen that much adoption of video. We offer it obviously and people use it but it tends to be they use it a few times and then they don’t use it. They tend to use voice only. So I don’t quite know why but we would love for them to use more video but so far we have not seen the massive uptick in video adoption.
Mike Latimore: Okay, thank you.
Operator: Thank you. And our next question comes from the line of Catharine Trebnick of Dougherty. Your line is now open.
Catharine Trebnick- Dougherty & Company: Thanks for taking my question. Congratulations, nice print. Can you talk a little bit more on the type of customers in the vertical market? And the reason I am asking there are some vertical markets, maybe healthcare or manufacturing that might be more prone to adopting and so have you done any segmentation or selling in the midmarket focused on the vertical markets? Thanks.
Vik Verma: Yes, so our HIPAA and medical is a big deal. We provide the most comprehensive out of the box robust HIPAA solution out there without anybody having to really read the fine print and worry about all the exclusions. So medical is a very important segment for us. Surprisingly legal law firms is quite a big one, recruiting is a pretty big one. So recruiting firms, law firms, medical firms, even financial services. So there are three, four, five verticals that are adopting but it’s been -- we haven’t quite, I think medical being the largest but we haven’t quite found that one vertical that just is blowing everything out. What is very heartening in all of this is little by little all the mid-market customers are saying I got to go cloud, and because of that we are seeing quite a few different almost all adopted virtually the same time.
Catharine Trebnick: Okay. And then the other question is -- no that’s all right. I got to go. Thanks I appreciate the help.
Vik Verma: Thank you, Catharine.
Joan Citelli: Okay you are welcome.
Operator: Thank you. And I am showing no further questions at this time. I would now like to turn the conference back to Mr. Vik Verma.
Vik Verma: Thank you, folks. In summary we had a strong quarter and we appreciate all of you joining us for this call. We look forward to seeing you at different trade shows as well as financial conferences in the future. Thanks again.
Operator: Ladies and gentlemen this concludes today's conference. Thank you for your participation. Have a wonderful day. You may all disconnect.